Operator: Good morning. My name is Stephanie and I will be your conference operator. At this time, I will like to welcome everyone to the New Residential second quarter 2014 earnings conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator Instructions). Thank you. I would now like to turn the call over to Sarah Watterson, Investor Relations. Please go ahead.
Sarah Watterson: Thank you and good morning, everyone. Welcome to the New Residential second quarter 2014 earnings call. With me today from management; I have Michael Nierenberg, company CFO -- or CEO rather and; Susan Givens, Company's CFO; I also have Jon Brown, the CAO, present for questions afterwards. Throughout the call, we are going to reference the earnings supplement that was just posted to the website this morning. If you haven't already done so, I would suggest that you download it now. And briefly, let me remind you that statements made today may be forward-looking statements. These statements, by their nature, uncertain, may differ materially from actual results. We encourage you to read the forward-looking statements disclaimer on our supplement and the risk factors in the New Residential's 10-Q. I would also like to remind you that nothing on this call constitutes an offer to sell or solicitation of an offer to purchase any securities. And the webcast and audio cast is copyrighted material of New Residential and cannot be duplicated, reproduced, or rebroadcasted without our consent. With that, I would like to turn it over to Michael.
Michael Nierenberg: Yes, good morning, everyone, and thanks for joining us. First, I am going to go through -- we are going to talk a little bit about the quarter. We'll talk a little bit about the Company. Then I'm going to turn it over to Susan, she'll talk about our results and then we'll go through our different segments. So first of all, Q2 was a fantastic quarter for our shareholders as we had a record quarter. Our core earnings in the quarter grew from $0.16 in Q1 to $0.20 per share. On a GAAP basis, we earned $0.44 per share. We paid $0.175 per share in regular dividends and we paid a special dividend of $0.075 per share. We announced a two-for-one reverse stock split. Since our spin from Newcastle in May of 2013, we have generated a 28% return on equity and we have paid $0.92 of dividends per share. We continue to focus on our core strategies which is servicing and servicing-related assets. Our investment thesis is to invest in assets that we believe will generate mid-teens returns in various interest rate environments. Today, our portfolio consists of excess MSRs and servicing advances, loans, non-agency mortgage securities, agency mortgage securities and a consumer loan portfolio. So, now if you will flip to page three in our supplement. In Q2, we had a very active quarter. We invested $36 million in excess MSRs related to $14 billion in mortgage loans. This is great news as we frequently get asked questions as far as when the MSR market will reopen. When we started investing two-and-a-half years ago in excess MSRs, we believed based on new capital regulations that the banks would need and want to sell MSRs. At that time, large banks owned approximately 90% to 95% of mortgage servicing rights. Since then we have seen the migration from banks to non-banks servicers where the banks have sold, we believe, approximately 15% to 20%, reducing their holdings towards 75% where they are servicing approximately 75% of all MSRs in the market. We believe that the trend will continue and we see no reason why banks won't continue to sell down towards 50%. So we think the opportunity in the MSR space continues to remain a very attractive one for us. With the large amount of servicing that's transferred from banks to non-banks, beginning two-and-a-half years ago, last year we saw the market pause. We have recently seen some differentiation within the non-bank servicers and our partners at Nationstar have done a terrific job working with the various regulators to put New Residential and Nationstar in a great position to acquire MSRs. While we don't think we will see the large one-off transactions that occurred in 2012 and 2013, we believe the market is open and subject to documentation, last Friday, we acquired a pool of $10 billion of MSRs. That's great news and that remains core to our strategy going forward. If you look quarter-over-quarter, our portfolio of MSRs in servicing advances actually grew. On the servicing advanced front, we closed on $921 million of advances, totaling $115 million of equity. Returns continue to be terrific as Nationstar reduces advances on the -- reduces advances as it relates to unpaid principal balance of mortgage loans and this is a win for everyone, as they've reduced the amount of servicing advances from approximately $6.2 billion to today where it currently stands at about $3.5 billion. In our loan business, we continue to grow the business in what we feel is a prudent way. Over the quarter, we acquired approximately $653 million of loans, of which $500 million was a pool of non-performing loans that we purchased from a large money sender bank. The pool had approximately 50% equity in the pool, so we believe that we are not dependent on increases in HPA and thus, we are further protected from any down side to the extent that the housing market should erode. Our resolutions and liquidations continue to exceed our forecasts and at this point, our returns are well north of 15% on our loan portfolio. In our non-agency business, we also had a very active quarter. As demand for securities drove our prices and yields fell, we sold approximately $100 billion of securities, resulting in $53 million of gains. As of the end of Q2, our exposure to this sector is relatively small, with approximately $70 million of equity invested. In one of our other core strategies, where we own call rights on approximately 760 different mortgage deals, which totals approximately $100 billion in collateral, we closed 16 different non-agency mortgage deals in the quarter. The 16 non-agency mortgage deals represents approximately $280 million of collateral. On these, our strategy is pretty simple. We pay the bondholders par for the -- for their bonds. The securities were issued typically back in 2003 to 2006. The collateral itself are usually premium coupons. So in this case, the coupons were 6% coupons. And to give you a frame of reference, Fannie Mae 6% coupons currently trade approximately $1.12 price. So what we do is we call the securities, we collapse these deals, we reissue the securities and we take out the arbitrage between par and where we actually execute the deals. Anything that falls out that is not currently going in the securitizations remains in our non-performing loan portfolio, which we continue to work out overtime. This is going to be a core strategy for us as we go forward, as I pointed out we own calls on 760 different mortgage deals and we do believe overtime that all of these deals will be called at some point in the future. If you flip to page 4, I'll just take you through our portfolio, how it looks today and then I am going to turn it over to Susan, who is going to talk about our financials. Our portfolio today is approximately $1.6 billion of net investments with a targeted yield of approximately 20%. In that portfolio, our core focus continues to be again servicing related assets. In that those are excess MSRs and are servicing advances as well as our loan business. We also have, as I pointed out, agency securities, non-agency securities and our other large investment is in our consumer loan portfolio which continues to perform extremely well. Our portfolio should do well as we look forward and believe at some point, with rates rising in the future, the way that we are setup that our -- the value of our portfolio should increase substantially again in a rising rate environment. Our strategy allows us to -- our strategy and energy allows us to optimize our relationship with our servicers as it relates to our loan portfolio. If you take a look to the bottom right on page 4, you can take a look at the snapshot. In our servicing related business, our net investment is approximately $948 million. Our targeted yields again are in the 15% to 20% range. This represents over 50% of our holdings or investments in our portfolio. Our loan portfolios in securities are $329 million, other investments which are really are consumer loan portfolio is approximately $250 million today and we have cash of $120 million. With that, I am going to turn it over to Susan.
Susan Givens: Turning to our summary financial results on page 5, as Michael mentioned, we had a really terrific quarter by just about any measure. We reported core earnings of 56 million or $0.20 per share. That's up significantly from Q1 when we reported core earnings of $42 million or $0.16 per share. Our core earnings story is really a great one. Core earnings had steadily increased over the last four quarters from $0.15 per share in Q3, 2013 to $0.16 per share last quarter to the current $0.20 per share. Moving on to GAAP income, for the second quarter, we generated GAAP income of $124 million or $0.44 per share. This is up significantly versus Q1 when we generated $49 million of GAAP income or $0.19 per share. Over the last four quarters, GAAP income has totaled a $1.18 per share or about $320 million in nominal dollars. The significant increase in GAAP income this quarter was mainly attributable to gains we generated from the sale of non-agency securities. During the quarter, we strategically sold a little north of a $1 billion of market value of securities taking our non-agency portfolio from $1.2 billion at the end of Q1 to about $217 million. As a result of these gains and the strong quarterly performance, on June 17th, we declared a common dividend of $0.25 per share or 70 million, which included a regular dividend of $0.175 per share and a special dividend of $0.075 per share. In total, including special dividends, we have paid out $0.92 per share of dividends since the spin out in May of last year and we generated a 28% annualized return on equity over that same period. Now, turning to page six, last quarter, we laid out this analysis to give you a little bit of insight into how we think about our balance sheet and we've updated it slightly this quarter. For companies like ours, book value is really the most important metric of value. The majority of our investments are marked each quarter, but we believe there are three assets that could be worth meaningfully more than where they are marked today. What we've done here is laid out our cost basis along with the June 30 book value of our investments in excess MSRs, servicer advances and consumer loans. Our cost basis in these assets totaled about $1.1 billion and the current book value is about $1.2 billion. These assets collectively comprise nearly 90% of our book value. And if we were to liquidate these assets today, we believe our book value could be worth meaningfully more than where we have it marked today. What we've done here is shown the total value at various discount rates. Obviously, this is all illustrative, but hopefully it provides little color into how we think about our value. Now, let's turn to our portfolio to do a quick overview of our assets. Our excess MSR portfolio is the core of our business and we believe we have a really great portfolio that's really well positioned in a rising interest rate environment. The carrying value of the portfolio today is little over $700 million. We own the MSRs on an unlevered basis and our expected lifetime return is about 17%. The performance of the portfolio continues to be exceptionally strong. Pre-payment rates have remained lower-than-original expectations and recapture rates have been very strong. Again, the primary drivers of value are pre-payment speeds, recapture rates and discount rates. In a rising rate environment, we believe all three of these metrics could change pretty substantially and the value could go up. Now turning to Page 8, we made our investment in servicer advances at the end of last year when we agreed to buy an interest in $6.3 billion of advances along with a few co-investors. We funded the advances over the last several quarters and after our additional funding this quarter, we are by and large done funding the purchase. In total, we've invested about $315 million of equity in servicer advances. Servicer advances are high credit quality assets and really top of the waterfall. Our equity investment is a relatively small portion of the advances because you can get so much leverage against the assets. In general, our returns have really exceeded our expectations here. If you look at the chart here, you see that Nationstar has done a great job reducing advance balances. Balances have gone from $6.3 billion at acquisition to about $4 billion today, about $2.3 billion decline. The advance to UPB ratio has declined 1.6% from 5.2% at time of acquisition to 3.5% and June 30, well ahead of the half a percentage point decline predicted at acquisition. The improved performance has driven the increase in our expected returns from about 15% at the time of acquisition to around 22% today. Now, I'll turn it back to Michael to discuss our loan portfolio.
Michael Nierenberg: Thanks, Susan. If you could flip to Page 9, as of Q2 2014, NRZ has acquired non-performing and re-performing loans with a UPB of approximately $896 million. As I mentioned in Q2, we acquired $653 million UPB of non-performing and re-performing loans, of which approximately $500 million of those loans were a pool that we purchased from a large money center bank. And, again, of that pool, 50% of those loans had equity. When you look at the non-performing loan market and as you think about NRZ strategy, we've actually approach this in what we think is in a very prudent way. Throughout the course of the first six months of this year, we've seen approximately $30 billion of distress loans trade and that's both in the non-performing and re-performing loan sector. We've acquired approximately $896 million, so a relatively small amount of loans. Our strategy there is actually to go slow to, make sure that we are comfortable as we look at the pace of liquidations and continue to work with our servicers such as Nationstar on timelines. As you think about it and when we put -- what we think is a pretty helpful chart in the bottom left part of this page, pre-crisis, when you think about the non-performing loan business, there is a couple of drivers that are going to help drive performance. One is your timelines, the other is going to be HPA and what happens with home prices. So pre-crisis, if you take a look, judicial time lines were approximately 26 months. Currently, we see judicial timelines at approximately 23 months. And if you look back to pre-crisis, they were approximately 18 months. Looking to the right side of the page, to the extent that the timeline shortened by approximately three months, we believe that's going to add an extra 2% to our IRR calculation. On the non-judicial timelines, pre-crisis, we were at eight months. During the crisis, we're at 11 months and, currently, we're at 11 months. Again, a very similar story as to the extent timelines shorten, our IRRs should increase by a couple percentage points. The other thing is if you take a look at annual home prices, for every 1% increase in annual home prices, we think our IRR will go up by approximately 1%. Now we're not banking on significant home price appreciation at this point as home prices have actually increased pretty substantially over the course of the past two years. So what we're really playing for at this point is expertise on our special servicer in Nationstar and shorter timelines. Now, if you could flip to Page 10, I'll spend a minute and just talk about our non-agency business. As we pointed out, throughout the course of Q2, we have reduced our holdings in our non-agency securities business by selling out approximately $1 billion of mortgage securities. The other highlight, as I discussed a little bit earlier, is we exercised some clean-up calls on 16 different mortgage deals, totaling $284 million of mortgage loans. Again, the thought process there, the underlying coupons on these mortgage loans are very high coupon mortgage loans and the arbitrage exists between calling these securities at par and then re-securitizing -- selling out the pieces to the market. Currently, we own clean-up call rights on 760 deals. We do believe over time that all of these deals will continue to get called and the total principal balance of the mortgage loans is approximately $98 billion. Below that you'll see a little bit of snapshot on our portfolio as it exists as of the end of Q2. And as I pointed out, at the end of Q2, we had approximately $70 million of equity invested in non-agency mortgage securities. Now, if you could flip to Page 11, we'll talk a minute about our consumer loan portfolio. In April 2013, NRZ invested $241 million to purchase an interest in $3.9 billion of a consumer loan portfolio. As of Q2, NRZ has received $111 million in life-to-date cash flows and our current cash basis is $130 million. The portfolio continues to perform extremely well. Charge-off rate today of 10.1% versus 12% at acquisition, charge-off sit down approximately 20%. If you look at the overall yield and our IRR in that portfolio, it continues to be between 35% and 40%. To summarize, for Q2 and looking forward, we think we had a terrific quarter for our shareholders in Q2. We've had record results both in GAAP income and core earnings. We had very robust investment activity. Looking forward, our near-term pipelines, we believe with the MSR markets opening up and, as I mentioned earlier, we did purchase a pool of $10 billion along with Nationstar of MSRs last week subject to final documentation. We do believe we're going to see a fair amount more of MSRs come to market. The guys at Nationstar have done -- the guys and gals at Nationstar have done a terrific job working with the regulators to put us in a great position relative to what we think our competitors are doing in the marketplace. The non-performing loan market and re-performing loan markets, we believe throughout the course of the rest of the year will be approximately $30 billion of supply coming to market. As I pointed out, we will be prudent about how we deploy capital there and take that slowly. And then finally, as we think about interest rates and where we are in the cycle with the first rate, fed rate hike priced in for August of 2015, we do believe rates are going to be higher at some point and the portfolio is extremely well positioned to advantage of that. With that, I'll turn it over to...
Susan Givens: Stephanie, if you could turn it over to questions please. Thank you. (Operator Instructions).
Operator: Your first question comes from the line of Bose George with KBW.
Bose George: Hey. Good morning. Actually, first, just a question on the outlook for core earnings. You guys did $0.20 this quarter. Just given the mix in your portfolio right now, is that kind of reasonable run rate?
Susan Givens: Hey, Bose. Yes, I think what we talked about in previous quarters was, obviously, the servicer advance transaction. We funded that in phases. And so what you're seeing this quarter in our numbers is really the full funding and the full recognition of our earnings from those assets. So I think we've talked about, in previous quarters, once we kind of got that fully funded, we expected it to be a couple of cents to our core earnings. You're really seeing the full benefit of that this quarter. In addition, you're seeing a -- really a full quarter's worth of contribution from our residential loan portfolio. So, again, we did some acquisitions back in the first quarter, more in the second quarter. So you're getting the pick-up in our core earnings from that investment as well. So our view is that $0.20 is a great number. We feel very good about that and we think it's a great quarter by just about, like I said, any measure.
Bose George: Okay. Great. And then actually switching to the NPL commentary you guys made, actually what's the breakout of that $30 billion you mentioned between NPLs and RPLs? And I assume -- are you just focus on NPLs and what's the different return profile between the two?
Michael Nierenberg: I think as we look at the market, the NPL -- we think about the NPL and RPL market of roughly $1.1 trillion. I think the mix is roughly $500 million to $600 million what we believe -- $500 billion to $600 billion of NPLs. With current pricing where it is, and I mentioned, when you think about it, $30 billion is traded in the first half of the year, we purchased about $896 million. So we've acquired a very small amount. Current pricing, overall, probably is not something that's really that interesting to us. As we think about it, going forward, to the extent that yields rise a little bit, that's how we're going to -- that's how we're thinking about playing in the sector. We're not specific to either RPL or NPLs as long as we could meet our return bogeys the way that we think about it, as a mid-teens type of return, then I think we'll deploy capital.
Bose George: And the returns you feel like are similar in both RPLs and NPLs?
Michael Nierenberg: RPLs are probably a little bit tighter today. But again, I think we are starting to see a little bit -- with the equity markets rolling over a little bit. We're starting to see a little bit of weakness in some fixed income securities. So we'll keep our eye on it, but it's not something we're going to jump in and buy a ton of loans, RPLs or NPLs, unless we think we can meet our return hurdles.
Bose George: And then just last one on the callable, the clean-up calls you guys are doing. Actually, just given pre-payments -- the level of pre-payments, how much of that $98 billion do you think becomes callable every year?
Michael Nierenberg: Well, we estimate, right now, we have in our portfolio approximately $10 billion of securities that are callable. It depends -- keep in mind, these are very seasoned securities. And again, we do think they're going to be called over time. So we think it's roughly going to be something between 10% and 20% per year.
Operator: Your next question comes from the line of Douglas Harter with Credit Suisse.
Douglas Harter- Credit Suisse: Thanks. Can you talk -- on the consumer portfolio, in the past, you had talked about possibly refinancing that and being able to pull more of your equity out of that. Can you give us some update on that?
Michael Nierenberg: We are currently evaluating it, as we stated, I think, last quarter as well. We do believe it's something that will occur. But that's kind of where we are right now.
Douglas Harter- Credit Suisse: Great. And then on the MSR acquisition side, can you talk about your comfort and you mentioned that you are happy with the Nationstar's regulatory relationships, but just in your comfort in the ability to get deals from the signed agreement to actually boarded about that comfort level?
Michael Nierenberg: The folks at Nationstar have done a great job working with the regulators. And I think the way that they are approaching this business alongside with us is they're working with the regulators first. So to the extent that there is a pool of MSRs that we believe can be acquired, we are seeking the appropriate regulatory approvals prior to purchasing these assets. So we feel like they are in a great place relative to their peers in the marketplace to be able to execute on that strategy. And as I mentioned earlier in the call, while we're finishing up documentation, we did agree to purchase a $10 billion pool last week.
Douglas Harter- Credit Suisse: And then just one last one. As you sold the majority of your non-agency MBS holdings, where are you thinking of deploying that capital or, I guess, has that already -- that capital already been deployed?
Michael Nierenberg: We still have capital to deploy, again agreeing on a pool of $10 billion of MSRs last week. We'll continue to focus on MSRs and MSR-related investments or servicing-related investments.
Operator: Your next question comes from the line of Paul Miller with FBR Capital Markets.
Paul Miller: Yes. Thanks a lot, guys. On NSM, when they had their call today, they talked about their recapture rates dropping from 50% to 30%. I know that recapture rates do have a lot of implications to the economics of those excess MSRs. Is there any -- can you add some color to that or -- to those numbers?
Michael Nierenberg: I don't -- as it relates -- I think what you are seeing a little bit there, as HPA has gone up, you're starting to see a little bit of housing turnover. While saying that, we don't think that it is a long-term trend. And I think the way that we see our portfolio is -- if you look at the non-agency side, which is roughly half of our portfolio on MSRs that really doesn't prepay. On the agency side, you'll see a little bit more turnover. But overall, we expect this to be more of a short-term phenomenon. And with our outlook for rates to be higher down the road, we think it will be a muted effect. Keep in mind the other thing is prepayment speeds have actually slowed up in the quarter. So there is the offset between recapture and prepayments speeds.
Paul Miller: And then you talk about -- I think it was -- it's going to be 75% GSCs and 25% PLSs is what Nationstar said this morning. So I know it's a small portfolio, but would you also be participating in those advances as they come over?
Michael Nierenberg: To the extent that we have the opportunity to invest in more advances, we would.
Paul Miller: Okay. And then, can you talk a little bit about the economics behind the collapsing of the deals. You talked about the -- you collapsed 16 season deals and sold $1 billion of that for about $53 million in gains. Is that the economics behind the collapsing of the 16 deals and what type of expenses are associated with it?
Michael Nierenberg: On the 16 deals, related to $280 million of collateral, so it's not $1 billion. So again, the way it works is we buy the securities out at par and the deals that we did, roughly 90% of those loans were current. So 90% of the loans actually went into the securitization, the other 10% remains in our non-performing loan portfolio which gets marked to market at that time. We then take those -- if you say roughly $280 million, so roughly $30 million of those loans don't come in. So you do $250 million securitization. And then the difference in pricing between par and we actually execute that deal results in your gain, minus your mark-to-market on your non-performing loans. So on that deal, we made $8 million on the $280 million of loan.
Paul Miller: So then the $1 billion which you securitized, where does that all -- was that part of the $250 million and then other $750 million of what?
Michael Nierenberg: No, the $1 billion, Paul, was just the reduction of our non-agency holdings throughout the quarter. So the loan collateral is one strategy and then you have just your non-agency securities portfolio. And then, keep in mind, at the end of Q2, as we pointed out, we had $70 million total in equity in the non-agency mortgage securities business.
Operator: (Operator Instructions). Your next question comes from the line of Sam Martini with Omega. Mr. Martini, your line is open. Your next question comes from the line of Michael Kaye with Citigroup.
Michael Kaye: If you guys are interested in exploring acquiring MSRs directly on your own by obtaining a servicing license, perhaps organically or by an acquisition?
Michael Nierenberg: I think, at this point, we continue to work with our partners at Nationstar. And I think that's the way that we're going to proceed going forward. We always look at opportunities, whether it be to acquire licensing or any other, quite frankly, asset that's going to be accretive to our Company. But I think, at this point, we're going to continue to focus on MSR acquisitions with Nationstar.
Operator: Your next question comes from the line of Bose George with KBW.
Bose George: Hey, guys. Just wondering, can you breakout the core earnings contribution from servicing advances this quarter?
Susan Givens: We don't actually disclose the core earnings contribution by segment. But I think the way to think about it is, roughly half of our core earnings come from our servicing and servicing-related assets. That's kind of how we think about it. And I think the balance of the portfolio is comprised of the consumer loans, the residential loans, and our securities. So this quarter, I think, the contribution between the MSRs and the servicer advances was actually north of 50%. So it's a pretty big piece of it.
Operator: Your next question comes from the line of Paul Miller with FBR Capital Markets.
Paul Miller: Thank you. On the NPL trade -- and if you've mentioned this in the call, I missed it and I apologize -- are you going to buy NPLs and then re-perform and keep the re-performing loans or are you going to re-perform them and sell them and to turn over the capital? I know there's two different strategies out there in the NPL trade. What exactly will you do with the NPLs once you acquire them?
Michael Nierenberg: We're likely going to turn them over, Paul. So once you get re-performing loans, either do a securitization or sell them back out into the market.
Paul Miller: And we're hearing that the pricing on that type of trade has really been tight. So, I guess, like what do you think you can buy them at or where do you think you can sell them at? Because that crowd is very -- the trade is very crowded?
Michael Nierenberg: It's very crowed. I think at -- based on where we see current returns on where assets are trading, it's not as interesting to us today as they might be down the road. However, I will say that with $30 billion, what we expect, more in supply to come throughout the course of the year and depending upon what happens with the overall fixed income and equity markets, it could create some opportunities for us. $30 billion have traded in the first roughly six months of this year, of which we repurchased $896 million in total. It's a very small part of our business at this point.
Operator: At this time we have reached the allotted time for questions. I'll turn it back over to management for closing remarks.
Michael Nierenberg: I think that's it. Thanks so much for participating on the call. Have a great day.
Operator: Thank you. This concludes today's conference call. You may now disconnect.